Operator: Good morning, everyone, and welcome to CareRx’s Second Quarter 2021 Financial Results Conference Call. Please note that this call is being broadcast live over the Internet and the webcast will be available for replay beginning approximately 1 hour following the completion of the call. Details of how to access the webcast replay are available in yesterday’s news release announcing the company’s financial results as well as on the company’s website at www.carerx.ca. Today’s call is accompanied by a slide presentation. Those listening on their phones can access the slide presentation from the company’s website in the Investor section under Events and Presentations by loading the webcast and choosing the non-streaming audio option. Certain matters discussed in today’s call or answers that may be given to questions asked could constitute forward-looking statements that are subject to risks or uncertainties relating to CareRx’s future financial and business performance. Actual results could differ materially from those anticipated in these forward-looking statements. The risk factors that may affect results are detailed in CareRx’s periodical results and registration statements, and you can access these documents in the SEDAR database under www.sedar.com. CareRx is under no obligation to update any forward-looking statements discussed today and investors are cautioned not to place undue reliance on these statements. I would now like to turn the call over to David Murphy, President and CEO of CareRx Corporation. Please go ahead, Mr. Murphy.
David Murphy: Thank you, and good morning, everyone. Welcome to our second quarter 2021 earnings call. With me is our Chief Financial Officer, Andrew Mok. The second quarter was perhaps the most eventful quarter we’ve ever had as a company, and it represented yet another meaningful step in the execution of our growth strategy. We once again, delivered strong year-over-year growth in both our top and bottom lines. During the quarter, we closed two acquisitions, the SmartMeds acquisition at the beginning of the quarter and the Rexall LTC Pharmacy acquisition toward the end. And most significantly, we announced the signing of a definitive agreement for our largest and most meaningful acquisition to-date that is the long-term care pharmacy business of Medical Pharmacies. The success of our growth strategy was once again evident in our financial results. Second quarter revenue increased 25% year-over-year to just shy of $50 million. Growth was driven primarily by an increase in the average number of beds serviced, up 27% to 53,184 from 41,754 in the second quarter of last year; and up 9% from 48,703 in the first quarter of this year. The year-over-year increase in average beds serviced is primarily the result of the Remedy’s acquisition, which was completed partway through the second quarter of last year and the SmartMeds acquisition that closed on April 1 of this year. Notably, the increase in average beds serviced from the first quarter to the second quarter also includes an increase of approximately 750 beds from the gradual normalization of occupancy rates for our home operator customers. Despite this increase, we have still not yet reached pre-COVID occupancy levels in the homes we service. We estimate that our normalized bed counts based on a return to pre-COVID occupancy rates would be approximately 1,500 beds higher than our current level. Finally, average beds serviced for the second quarter were helped marginally by the closing of the Rexall LTC acquisition nine days before the end of the quarter. Approximately 2,500 beds from the Rexall acquisition were onboarded prior to the end of the second quarter, and the remaining 1,500 beds from that acquisition were onboarded in July. Adjusted EBITDA for Q2 increased 54% year-over-year to $4.3 million with growth, again, driven by the increase in the average number of beds serviced as well as the full quarterly contribution of the $3 million in annual cost savings synergies from the Remedy’s integration. The second quarter continued the very busy start to 2021 for our company. On April 1, we closed the SmartMeds acquisition that we announced in late January. As a reminder, SmartMeds added approximately 2,400 beds in Ontario. SmartMeds is expected to contribute, run rate annualized revenue and adjusted EBITDA of approximately $13 million and $1.5 million respectively prior to any benefits from the integration of the operations of the two businesses. And the first quarter of contribution as part of CareRx was very much in line with our expectations. For the end of the quarter on June 21, we also closed our previously announced acquisition of a portion of the long-term care pharmacy business of Rexel, which prior to their strategic decision to exit the business was the fourth largest provider in the market. The Rexall acquisition added approximately 4,000 beds across Ontario and Northern Alberta. It also included a fulfillment center in Sudbury, Ontario. It is expected to contribute run rate annualized revenue of approximately $14 million and nominal adjusted EBITDA prior to any benefits from the integration of the operations of the two businesses. In addition to closing these two tuck-in acquisitions, we took the first step toward our most meaningful acquisition to-date, signing a definitive agreement to acquire the long-term care pharmacy business of Medical Pharmacies. The Medical Pharmacies LTC business will add approximately 36,000 beds taking our total bed count upon closing to approximately 92,000 beds. This acquisition alone expands our bed count by about 70% and further cements the leadership position we have been building in the sector over the past few years. The Medical Pharmacies acquisition is expected to contribute run rate annualized revenue of approximately $150 million, and adjusted EBITDA of between $10 million and $12 million. In addition, we are estimating cost savings synergies to be a minimum of $5 million. Finally, I am pleased to report that last week we received clearance from the competition bureau to move forward with the acquisition. The transaction remained subject to other customary closing conditions, and we expect to complete the acquisition by mid-September. I would now like to turn the call over to Andrew to discuss our Q2 results in more detail. Andrew?
Andrew Mok: Thank you, David, and good morning, everyone. Before I begin, a reminder that our financial statements and MD&A for the second quarter have been filed with SEDAR and are also available on our website. Revenue for the second quarter of 2021 increased $10 million or 25% to $49.7 million from $39.7 million in the second quarter of 2020. This increase was attributable to the larger contribution in Q2 of this year from the Remedy’s business, from which we only add a partial contribution last year as it was acquired partway through the second quarter of 2020. As well as the contribution of the SmartMeds acquisition that closed on April 1. This growth was partially offset by the continuing temporary reduction in the number of beds serviced due to COVID-19. As David noted occupancy levels at the homes we service are continuing to gradually improve. However they have not yet returned to pre-pandemic levels. I’ll also reiterate David’s comment that due to having closed nine days prior to the end of the quarter, the Rexall acquisition did not meaningfully contribute to the quarter’s results. Adjusted EBITDA for the second quarter increased 1.5 million or 54% to 4.3 million from 2.8 million for Q2 of last year. Growth was again driven primarily by the full quarter contribution from the Remedy’s business this year, as well as the quarterly contribution of the more than $3 million in annualized cost savings synergies achieved from the consolidation of certain fulfillment centers and other operating costs as part of the Remedy’s integration, in addition to the contribution from the SmartMeds business acquisition. Adjusted EBITDA growth was partially offset by the continued temporary reduction in the number of beds serviced due to COVID-19. In terms of the incremental beds on-boarded during the quarter, it is important to note that as most of these beds, including the SmartMeds beds and the beds being serviced out of our recently acquired Thunder Bay and Sudbury locations are being serviced out of new incremental pharmacy locations and they did not provide for an expansion of our adjusted EBITDA margin in the same way that they would have if they were serviced out of an existing location. We believe that following the completion and integration of the Medical Pharmacies acquisition, our optimized national fulfillment network will be well-positioned to realize on significant operating efficiencies while being able to service incremental bed growth, which will drive further expansion in our margins. Turning to our balance sheet, we ended Q2 with $11.4 million in cash compared to 28.7 million in cash at the end of the first quarter of this year. This does not include the net proceeds of the $63.3 million bought deal and concurrent private placement of subscription receipts that we closed on May 19. As a reminder, that combined offering, which included the full exercise of the upsize options, consisted of just over 12.5 million subscription receipts issued at $5.05 per share. These will be used to fund the portion of the cash component of the purchase consideration for the Medical Pharmacies acquisition and associated transaction costs. Those funds are being held in escrow until the closing of the Medical Pharmacies acquisition, which as David mentioned is targeted to occur by mid-September. The sequential Q1 to Q2 decrease in cash was a result of a number of expected and non-recurring cash outflows, including the payment of the cash consideration of the Rexall acquisition and the payments of the earnouts and deferred consideration related to the Remedy’s acquisition. The decrease is also the result of the use of cash in operations of 5.7 million during Q2, which in addition to the impact of the timing of certain working capital movements, such as incremental inventory purchase toward the end of the quarter in anticipation of the acquired Rexall contracts coming on-board, included several non-recurring items, such as the remaining payment of the settlement of the previously disclosed arbitrations related to a historical acquisition and transaction costs associated with the acquisitions signed and closed during the quarter. Net debt at the end of Q2 was 47.8 million, which was up from 29.5 million at the end of the first quarter and is reflective of the lower cash position. That increased our net debt to annualized run rate adjusted EBITDA to 2.8 times from 1.8 times at the end of Q1. This is expected to return to the levels achieved in previous quarters, following the closing of the Medical Pharmacies acquisition and associated subscription receipt financing. During the quarter, we entered into a binding commitment letter with our senior lender, Crown Capital to refinance our existing senior credit facilities providing for a new $60 million senior debt facility, which is also scheduled to close concurrently with the closing of the Medical Pharmacies acquisition. The proceeds from the refinancing will be used to repay the existing senior credit facility and fund a portion of the Medical Pharmacies cash considerations. In addition, we expanded our subordinated facility with Yorkville asset management by $6 million during the quarter and amended certain terms, including the extension of the maturity date to the later of March 31, 2026, and the fifth anniversary of the closing of the Medical Pharmacies acquisition. And a reduction in the interest rate from 12% to 10.5% per year. Combined with the aforementioned refinancing this nets us to $39 million in incremental debt. It is important to note that the terms of the new senior debt facility, as well as the amendments to the existing subordinated facility, both result in the lowering of our overall cost of capital. I’ll now turn the call back over to David for some concluding comments. David?
David Murphy: Thank you, Andrew. With the successful execution of our growth strategy, we have expanded our current bed count to over 56,000. The addition of the Medical Pharmacies LTC business and its 36,000 beds will further transform our revenue and earnings profile. Upon closing of the Medical Pharmacies acquisition, our total bed count will stand at approximately 92,000. That’s up about 188% or 60,000 beds from our total at the end of the first quarter of 2020. This increase and the corresponding growth in revenue will afford us the opportunity to drive a meaningful improvement in operating margin. As we execute on integration activities in the next six to 12 months. In addition to cost synergies from individual acquisitions, such as the Medical Pharmacies transaction, we have a broader opportunity to leverage all of our recent acquisitions to optimize our fulfillment network and drive operational efficiencies. We estimate that as we complete these integration initiatives, run rate adjusted EBITDA margin will continue to increase over the next six quarters until they reach 12% to 13% at some point, during 2022. Beyond that our 92,000 beds represent less than 22% of the approximately 425,000 seniors housing beds in Canada today. A number that I will remind you is forecasted to more than double over the next 15 years, to more than 1 million beds. In short, despite our significant expansion over the past year and a half, we still have tremendous growth ahead of us, a growth opportunity that will enable us to continue to improve our operating margins. We have never been better positioned to capitalize on these opportunities. We have a significantly expanded national footprint, already the largest in the country, and to be further enhanced by the Medical Pharmacies acquisition, enabling us to even better address the needs of both existing customers, as well as potential new customers. As we drive efficiencies, standardization and automation in our operations, we will be able to leverage these improvements to create a market leading differentiated service offering to our customers, built on quality, technology, and clinical and service excellence. I would now like to open the call to questions. Operator?
Operator: Thank you. Ladies and gentlemen, let me begin the question-and-answer session. [Operator Instructions] First question comes from David Newman with Desjardins. Please go ahead.
David Newman: Good morning, guys.
David Murphy: Good morning, David.
Andrew Mok: Good morning, David.
David Newman: First question here, just on the margin, they dipped a little bit kind of niggling, but they dip down to 8.7% and it looks like it was on the step up in employee costs and other OpEx. Maybe just some color on the OpEx. I know you haven’t closed MGPL and all that, but – and I know that will lead to big margin leverage, but maybe just discussion around the OpEx. And is it just noise on Remedy’s and SmartMeds and bringing on costs ahead of revenue sort of thing?
David Murphy: Yes, I’ll let Andrew get into more detail, but I think David, yes, I mean, we basically – we look at it as a pretty flat quarter-over-quarter margin performance. I think it’s fair to say now that the fully synergized Remedy’s run – post Remedy’s EBITDA margin is in and around 9%, should have been a bit higher if we didn’t have the COVID impact on bed count, but I think that’s where we’re at. And although there’ll always be a bit of variability from quarter-to-quarter, I think one of the sources of variability in Q2 was we did have – we did start up a new location in Thunder Bay, Ontario. And as you said had some onboarding of a couple of acquisitions and it got to the main driver, but I think fair to think about the starting point here is about 9%, and you say it’s really now all about integration optimization and putting new beds through our network to drive the increase up to that 12% to 13% that I mentioned. But Andrew, maybe if you want to provide any additional color on OpEx specifically.
Andrew Mok: Sure. Good morning, David.
David Newman: Good morning.
Andrew Mok: Yes, I think that David Murphy captured all of the components there and is primarily related to bringing on those new locations. And proportionately the increase on the OpEx side is also driven two other factors there; one, with the SmartMeds acquisition as we said, it came on board and it performed exactly as we expect it to. But there is going to be a little bit of a ramp there as we realized not just on the site consolidation synergies, but a little bit of the operating cost synergies as well, which we did not plan to undertake in the first quarter post acquisition, but proportionately you will see not just because of the MGPL closing, but just over the course of the rest of the year that OpEx as the percentage of revenue continued to go down as well.
David Newman: Okay. And are you like – when you bring on Medical Pharmacies and Rexall, are you from a resourcing point of view, are you – do you have the corporate structure in place that can handle that? Or do you need to add bodies on the OpEx side? Like, can you handle all of the 92,000 beds with what you’ve got or do you need to build?
David Murphy: Yes, on the Medical Pharmacies side, David, one of the many great things about that deal is we’re getting tremendous depths and capabilities in terms of the Medical Pharmacies team. So we’re very comfortable. As you would expect, our integration plan is fully pretty – fully developed at this stage, and it doesn’t include bringing on any additional resources. We believe that the combination of the integration team that handled the Remedy’s deal last year on our side, plus the Medical Pharmacies team that we can more than handle both the integration activities and the day-to-day in parallel.
David Newman: Very good. And then a second one just to do with shortly the reopening of the economy, here you did flag that the number of beds services was just a little bit shy of where it should be given COVID, but vaccines and arms and things like that. The other part of the equation is obviously organic growth has suffered, I guess, because you can’t really get in and do what you want to do. How are the RFPs and potential contracts? They coming back on the front burner. And where are you incurring any extra costs through COVID on logistics, servicing homes and things like that, which could also add to the margins? Maybe just the top line and maybe the bottom line there.
David Murphy: Yes. So I’ll answer the last question quickly first. The extra costs related to COVID were pretty nominal. And I think we offset them by managing costs elsewhere. So I don’t think that’s a major factor in the P&L. But on activity levels, the summer’s always a bit slow. And obviously, this summer in particular, you have home operators and their staff who are recovering from an incredibly difficult year. They have used up vacation, et cetera. But we are seeing a lot of really good indications of normalcy on multiple fronts. As you said, the occupancy levels are going up, we are seeing significantly more activity on RFPs and on just contract – engagement with customers on potential extensions or new contracts. So, yes, we’re seeing a lot of evidence. We believe that the fourth quarter will be the most active one we’ve had in a couple of years, as it relates to being able to sign some deals and add new business. There’s a couple of large opportunities that we’ve talked about in the past. They’re still likely to be early 2022 opportunities, but as a reminder, the vast majority of this market is 1,000 bed or less tight contracts, and we’re seeing tons of movement and tons of discussions on that front now that we’re heading towards normalization.
David Newman: Okay. And then last one for me is just on your – the Rexall. I think part of the equation on Rexall was to start looking at going direct and signing some of those contracts up in British Columbia. Any movement upfront or just too early days because it was nine days before the end of the quarter when you actually closed it.
David Murphy: Yes. And the direction has been more and more after the quarter, David, but yes, we continue to have good discussions with Rexall customers, as you know, they’ve communicated broadly their intention to exit the market. And so in some cases, that means they’re continuing to service their existing contracts until expiry. But in British Columbia, we’ve had good discussions with customers and we’ve actually at this point signed contracts for, I believe, 900 beds. Most of those are still yet to be onboarded, but so far the tally is an additional 900 beds that we’ve been able to contract on a go-forward basis.
David Newman: Excellent. I’ll leave it at that. Thank you.
David Murphy: Thank, David.
Operator: Thank you. Your next question comes from Kyle McPhee with Cormark. Please go ahead.
Kyle McPhee: Hi, guys. On the closing of the Medical Pharmacies acquisition, can you offer any color on the updated timeline that I think is a bit slower than prior expectations? And more importantly, does this new closing timeline impact your expectations for when the integration synergies should start showing up versus the past guidance you gave us on that front?
David Murphy: Yes. Good question, Kyle. I mean, it’s not a huge movement. I think the competition bureau was always the one that was the most uncertain. We’d hoped that would have been July, but it came beginning of August. So not a big move movement. What’s left now is almost entirely things that are within the party’s control. So I feel like that mid-September is a conservative, I don’t want to say worst case, but something close to it. So we’re working hard to get things done in advance of that as possible. And on integration, we’re ready. We’re ready to hit the ground running to contrast this integration with the Remedy’s integration as much as we executed very well on the Remedy’s integration. We didn’t actually start until somewhere around the 90-day mark in terms of the heavy lifting on integration. In this particular situation we’re ready to go day one. So I think the 6- to 12-month timeline starting from close, that hasn’t changed for us. And so we still feel like we’ll get a fair bit of work done before the end of 2021.
Kyle McPhee: Got it. Okay. Thanks for that. And then on ongoing M&A front, I’m wondering if the focus now shifts a bit to integration and organic growth, or are you still actively allocating some of your time looking at deals, whether it’d be any sizable ones left in the sector or just the tuck-in opportunities? Any color there would be helpful in terms of kind of what to expect near- and mid-term here.
David Murphy: Good question. I think for sure it is the case that our number one priority is, both integration and organic growth. And as I mentioned earlier, we see finally the kind of reopening of more robust opportunities on the organic growth side. I would say though that, as you know, Kyle, we’ve built a pretty strong M&A offense in pipeline. And so there are still tuck-ins out there that we’re interested in. Probably more likely that would be a 2022 thing than a 2021 thing, but I still think you can expect us to do additional tuck-ins at the right price. There are still some assets out there that we would value.
Kyle McPhee: Got it. Okay. Thank you. That’s it for me.
David Murphy: Thanks, Kyle.
Operator: Thank you. Your next question comes from [indiscernible]. Please go ahead.
Unidentified Analyst: Good morning, and congrats on the continued operational excellence.
David Murphy: Thanks.
Andrew Mok: Thanks.
Unidentified Analyst: Just a quick question from me regarding your expectations for some of your ancillary growth leavers that you’re piloting like Pharmacy At Your Door, the Karie Device, and SmartLink software. I’m wondering if you’re expecting to expand the rollout of any or all of these offerings after the close of the Medical acquisition, or if you expect they’ll remain in the pilot stage for now as you focus on integration?
David Murphy: Yes, good question. So I think I’ll quickly take each one in turn. I think Pharmacy At Your Door is really a separate initiative from the institutional pharmacy business, although, we have had some traction in the more independent part of retirement homes. So I think there could be an opportunity post Medical Pharmacies just to get access to a broader number of those. But for the most part, I would continue to characterize that as something that’s going well, but we’re scaling it up province by province and I wouldn’t expect it to be material, a contributor to our earnings for a little while. On Karie, we’re actually getting very nice traction now on as much as that company has had great success in Europe. Canadian sales have been pretty slow just mostly because it wasn’t a main market focus for them. We’re getting really good traction now in the retirement space in Canada. And so we would expect that by virtue of our bed count going up by 70% after this acquisition that we will have access to more homes. Still I would caution anything too robust in terms of modeling, but we’re feeling really good about both the evidence that, that device is being able to generate where it is being used and what the upside might be in the market. And then on SmartLink, I think that’s still early days, it’s definitely a great technology that the SmartMeds customers value. We also though as you pointed out, we’ll get access to some interesting different technology platforms, because of the Medical Pharmacies transactions. So I think its part and parcel of how we think about optimizing our fulfillment network in the next year, figuring out which platforms and which technologies to lead with will be something we have to decide and I think that’s still to be determined.
Unidentified Analyst: Got it. That’s great color, I appreciate that. And just one more question from me on the broader trends post-COVID in terms of the scope of practice for pharmacists. I’m wondering if that has any read-throughs for your pharmacist in terms of being able to provide some higher margin services once they get back into these homes?
David Murphy: So, on scope of practice, I mean, there are – I guess I would say there are differences across the country in terms of the provincially permissible scope of practice. And so first and foremost is just a desire to allow pharmacists to contribute as much as they can to the healthcare system and health outcomes. We would obviously be in favor of an expansion of the scope of practice. It does – to the extent that happens. It does trickle through, into additional ancillary revenue for us. But as I said, that’s probably not the main driver. It’s not a financial argument. It’s more about just being the right thing for the pharmacy profession to be able to add value. But that’s certainly something that’s on our list of regulatory changes we’d like to see happen in the near future.
Unidentified Analyst: Great. Thank you. I’ll leave it there for now.
David Murphy: Thanks.
Operator: Thank you. Your next question comes from Justin Keywood from Stifel GMP. Please go ahead.
Justin Keywood: Good morning, thanks for taking my call. Just maybe a question for Andrew to kick it off, on the working capital requirements in the quarter related to the Rexall contracts. Are you able just to specify what that amount was and also, do you anticipate any working capital requirements for the Medical Pharmacies acquisition?
Andrew Mok: Sure. Good morning, Justin. I think that just to clarify was really more of a – as it relates to Rexall, it wasn’t unique specifically to the business. More of a timing issue of we had closed the deal nine days before the end of the quarter. It really only just came with that one Sudbury location and then the number of contracts across the country that didn’t come with any location or working capital. And so really it was an inventory purchase in anticipation of those beds coming on, but an incremental million dollars for the quarter as it relates to the working capital movement there. I wouldn’t anticipate any similar requirements as it relates to the MPGL transaction.
Justin Keywood: Okay. That’s helpful. I think the working capital was a bit harder than we are expecting just in general, anything to account for that?
Andrew Mok: Yeah. Are you talking about, sorry just to clarify, are you talking about the actual balance sheet balances or you’re talking about the movement in the quarter on the cash flow?
Justin Keywood: The movement in the quarter.
Andrew Mok: Yeah. So there were a couple of things for Q2 specifically as I mentioned earlier on the call, so the second half of that arbitration award related to that historical acquisition that we had, the confidential arbitration, there was another about $2.3 million payment there, that’s one factor. And then there were some prepayments as it relates to some of the transaction fees and the commitment fees on the financing for the MPGL transaction that were also paid in the quarter, about 800,000, the rest of it is just your normal working capital movement.
Justin Keywood: Okay. That helps clarify. And then I just had a question to follow up on the acquisition opportunity. Obviously there’s still an opportunity to increase that market share, I think I heard it could be around 22%, but I am wondering if there’s an opportunity outside of the long-term care and retirement space to perhaps acquire some of the retail pharmacies that are out there.
Andrew Mok: It’s a good question. I think at this point, Justin our focus is in the congregate care settings and the institutional pharmacy space. And we still think we have lots of runway there. Beyond that, I think you can get closer to our 100,000 bed target we’re going to achieve that target a couple of years in advance of where we’ve targeted. So we’re obviously, we think of ourselves as a pharmacy company and so the pharmacy ecosystem is where we do business and Pharmacy At Your Door is an example of that. Obviously the retail pharmacy space is very different, very competitive, but also very interesting. So I wouldn’t rule it out, but I would say it’s not a current plan for us right now.
Justin Keywood: And is there a market share percentage that you anticipate where the business could reach maturity or we saw that the recent acquisition was past the Competition Bureau requirements. Like, do you anticipate running into any of those issues a bit further along as the business matures?
David Murphy: I don’t think that we would anticipate any further Competition Bureau scrutiny just by virtue of those generally tend to be triggered by acquisitions and there’s not really I think a likely acquisition target that will be big enough to trigger that, so I don’t think there’s any regulatory issues. And hard to speculate on how big is mature, but certainly from our perspective we believe we could comfortably get 150,000 beds or higher before there’s any indication that growth projections should be adapted to reflect a more mature market share. So that would be definitely more than 30%, 35% market share before I would consider it, ‘normal number one leadership position’.
Justin Keywood: And any indication on timeline when you could achieve that expanded market share?
David Murphy: I think at this point we probably will set out a more robust sort of two to three year bed count target before the end of the year. At this point though, we’re still – we’re almost there, but we’re not at 100,000 numbers. So I think our focus as a team is getting to that hopefully by the end of the year. But you can expect we’ll probably set out more robust targets on how we get to that 150,000 or whatever the kind of medium term target is before the end of 2021.
Justin Keywood: Okay. Understood, thank you for taking my questions.
David Murphy: Thanks Justin.
Operator: Thank you. [Operator Instructions] And with that your next question comes from Chelsea Stellick with iA Capital. Please go ahead.
Chelsea Stellick: Hello. It appears that most of the questions we’re asking while at pressing star one, apparently, but just one question in terms of the Canopy dispute, I’m just curious to know how long it’s going to take to get through the arbitration process and if it means that, you’ll end your supply agreement here.
David Murphy: Yeah. Yeah, good question Chelsea. I think the answer to be clear we’re not in arbitration now. So I think at this point I would characterize it as, I think both parties are sorting out what the path forward is. It’s an unfortunate situation because we’re disappointed. We’ve worked really hard to try to drive commercial success in that particular partnership. And unfortunately like most – like most aspects of the cannabis industry, I think the sales expectations have fallen pretty short of what the cannabis industry projected. But it’s still relatively early days. So I think at this point we’re having constructive discussions with Canopy on where the partnership goes from here. And I think both parties desire is to keep it alive and have more success in the next three years than we had in the first three years.
Chelsea Stellick: Okay. That’s all for me. Thank you.
David Murphy: Thanks Chelsea.
Operator: Thank you. We have a follow-up question from David Newman from Desjardins. Please go ahead.
David Newman: That’s just a quick follow-up one guys, just on VirtualCare with Think Research, any update on how that’s rolling out across your various homes?
David Murphy: Yeah. Good question, David. I think, probably I’d say stay tuned for updates on that, because it’s going quite well. I think we’re finding whether it’s because of COVID or that’s just part of the reason that the places we’ve piloted that VirtualCare offering in partnership with Think Research in the retirement homes that we partnered with, gone really well. And so almost all of the situations where we’ve run pilots, we’re talking about pretty robust expansions of that pilot into a more full-blown rollout. So I think we’re feeling very good about it. I think for the retirement resident in the home, it’s a great ability to increase access to physicians and access to timely care. And then obviously for us there’s follow on prescription benefits, usually for residents who don’t traditionally use our medication management services. So I think nothing to announce yet, but I would say it’s our expectation that our larger national customers are going to embrace that in a more full way over the course of the remainder of the year.
David Newman: And you’ve got the plumbing all sort of sorted out in terms of fulfillment on your side in LinkedIn with their VirtualCare platform?
David Murphy: Yeah. For sure, it’s actually the technological piece is done and for the most part, these are homes we’re already servicing. So operationally it’s not that difficult.
David Newman: Okay. And how long period get across the entire footprint?
David Murphy: I think we’ve probably provided some indication or guidance on that or announce a press release in the next couple of months, but we believe national rollouts with at least one or two customers is something that could happen before the end of the year potentially.
David Newman: Excellent, so you’re quite pleased with the relationship so far.
David Murphy: Yeah. It’s been a great success thus far, for sure.
David Newman: Excellent. Thanks guys.
David Murphy: Thanks, David.
Operator: Thank you. There are no further questions at this time. Mr. Murphy, you may proceed.
David Murphy: Thank you. And thank you everyone for participating on today’s call and for your continued interest in CareRx, we look forward to reporting on our continued progress next quarter. Thank you.
Operator: Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.